Operator: Good morning, ladies and gentlemen, and welcome to CIT's first quarter 2009 earnings call. My name is Carmen, and I’ll be your operator for today. Participating in today's call from the company are Jeff Peek, Chairman and Chief Executive Officer; Joe Leone, Vice Chairman and Chief Financial Officer; Alex Mason, President and Chief Operating Officer; and, Ken Brause, Executive Vice President of Investor Relations. At this time, all participants are in a listen-only mode. There'll be a question-and-answer session later in the call. Please limit your questions to one per firm. (Operator instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Ken Brause, Executive Vice President of Investor Relations. Please proceed, sir.
Ken Brause: Thank you, Carmen, and good morning. Welcome to CIT's first quarter conference call. Our call today will be hosted by Jeff Peek, our Chairman and CEO; Joe Leone, our CFO; and, Alex Mason, our President and Chief Operating Officer. Following our formal remarks, we will have a question-and-answer session. We do ask that you limit yourself to one question and then return to the queue if you have additional questions. We’ll do our best to answer as many of your questions as possible in the time allotted today. Elements of this call are forward-looking in nature and may involve risks, uncertainties, and contingencies that may cause actual results to differ materially from those anticipated. Any forward-looking statements relate only to the time and date of this call. We disclaim any duty to update these statements based on new information, future events, or otherwise. For information about risk factors relating to the business, please refer to our SEC reports. Any references to certain non-GAAP financial measures are meant to provide meaningful insight and are reconciled with GAAP in the financial tables accompanying our press release. For more information on CIT, please visit the Investor Relations section of our Web site at www.cit.com. With that, it’s my pleasure to hand the call over to Jeff Peek.
Jeff Peek: Thank you, Ken, and good morning to everybody, and welcome to our first quarter conference call. With me this morning are Alex Mason, our President and Chief Operating Officer; and, Joe Leone, our Vice Chairman and Chief Financial Officer. Nancy Foster, our Chief Risk Officer is here as well and she'll join us for the Q&A. It's certainly been a challenging start to the year. We will share our thoughts and key matters impacting our business both for the quarter and prospectively, and then we’ll be delighted to take your questions. CIT's value proposition is fairly straightforward and focused, extending credit to mainstream, small, and midsized businesses. It is clear that many of these enterprises are struggling as a result of the deep and prolonged recession. Sales are down significantly across most industry sectors. Businesses are experiencing further contraction in the availability of liquidity and credit resources, severely limiting restructuring options for those whose business models have been challenged. Clearly, as evidenced in our results and that of our regional banking peers, the weak economic environment had a much greater impact on certain segments of our corporate loans portfolio than we have anticipated previously. While we are certainly disappointed with this quarter's credit metrics, it maybe better to evaluate our underwriting to a full business cycle rather than in a specific point in time. We do believe that we are taking the appropriate action to quickly recognize losses that have occurred to aggressively build reserves in anticipation of future losses and actively manage the portfolio to maximize our future recoveries. Now on the positive side, we are making good progress on our transition to a banking platform. We have maintained a strong balance sheet and managed considerable liquidity. And we’re seeing the benefits of the expense reduction initiatives we took in 2008. Now, I want to focus on our transition to a bank holding company. We’re working very hard to transition CIT from a wholesale market funded finance company to a deposit funded bank holding company. A task that would be difficult even in the best of times and is that much more challenging given the current economic, financial, and political environment. As we work our way through this transition, our four objectives remain the same. First, we need to manage liquidity while the credit markets remain upside down. We want to limit credit risks during this economic downturn. We need to navigate a path back to profitability and in some ways, most importantly, we need to preserve the value of our core commercial franchises, so that we can reap the competitive benefits when the environment improves. I am pleased to report progress on our bank transition. Last week, we received regulatory approval for the initial phase of our 23A waiver request. We transferred $5.7 billion dollars of our government guaranteed student loans and $3.5 billion of related debts, mostly conduit financing to CIT Bank. In connection with this asset transfer, we’ve now moved about $1.6 billion of cash from the bank to the holding company. CIT Bank, our Utah's state chartered commercial bank, is now just under $10 billion in assets, of which approximately 75% are cash and self loans at really guaranteed student loans. And we have nearly $3.5 billion of term deposits. We've been very successful in accelerating the phase of deposit issuance over the past several weeks. Banks capital ratios are quite strong, both Tier 1 and total capital ratios were over 20% at March 31st, and they are substantially higher today as a result of last week's transfer, while working with our regulators on next phases of our 23A transfer requests and hope to be able to transfer additional assets and operations into the bank throughout the year. Process is quite thorough and involves a fair amount of due diligence on the part of the regulators. The timing is not something that we can easily forecast. With regard to TLGP, the FDIC's guaranteed funding program, our application or participation remains outstanding, and we continue to be an active dialogue with the FDIC. Due to the confidentiality of these talks, there is not much more that I can say at this time. These regulatory approvals are taking longer than have been anticipated. As a result, we did not have any cost to fund or liquidity benefits in our first quarter, and had it continue to constrain new business originations in order to preserve liquidity. We cannot predict when and in what amount additional approval will be granted. On our last quarterly call, we discussed the possibility of returning CIT to profitability this year, 2009. If you recall that discussion, the key drivers talked about what credit provisioning and funding cost. Given the accelerated economic downturn and its deepening impact on our customers in credit exposures, combine with our inability to make progress on lowering funding cost, it's now unlikely that we will achieve that goal. We are now focused on a plan that returns the company to profitability in 2010. Let me mention a few specifics of the first quarter. Turning to those details, our loss was largely driven by maturely higher credit cost in margin compression. Now, while Alex will review each of our four financial commercial finance businesses in more detail, I would highlight two bright spots, transportation finance and trade finance. Our aircraft and rail leasing businesses continue to perform very well given the current environment. Credit is holding up well, our air portfolio remains fully leased, and rail utilization, while on the decline, was at 93%. And our trade finance team continues to do just a superb job, navigating the mine fields of the retail sector and staying ahead of potential credit problems. I'd like to recognize John Daly and his team, who I think are certainly best in class in their sector. I would also highlight our success in bringing down operating expenses. Headcount is now down nearly 25% since the beginning of 2008, to just over 4800 individuals. And we continue to look at opportunities to further improve our efficiency and right size the CIT business. I also want to stress that our balance sheet remains strong. We reduced assets both on an absolute and risk-weighted basis. And we remain disciplined around new business originations to ensure that our incremental liquidity is being deployed. Those opportunities that advance our strategic and financial objectives, our most important customers, and our highest return endeavors. To further de-leverage the company, both through the repayment of maturing debt and the opportunistic repurchase of $ 470 million phase amount of our debt at a discount for which we recorded $140 million gain in the first quarter. Further, we build our loan loss reserves aggressively in the quarter by 220 million in anticipation of future losses. Our reserve coverage of finance receivables is currently at 2.6%, among the highest of our regional bank holding company peers. While the persistent economic dislocation does pose risks to our plan, we currently expect that this quarter marks the peak of our loss provisions. As you would expect, the top in charge offs will lag that of provisioning by one to two quarters. The capital ratios are strong, over 9% Tier 1 and 13% total capital. We have made progress in optimizing the risk weighing of certain of our asset classes which helps reduce our total of risk weighted assets and we continue to look for additional opportunities to improve the efficiency of the balance sheet as a regulated bank holding company. I would also like to comment on the Board's decision earlier this week to eliminate our quarterly common stock dividends. Given our recent results, management and the board together agreed that the most appropriate action was to not pay a common dividend at this time. Discussion and decision was exclusively around the common dividend only. This current intent to continue to pay all dividends on preferred stock issues. Before I turn the call over to Alex for his commentary, let me reiterate my confidence in the CIT franchise in its long term value potential, particularly as a banking enterprise. We continue to do business and we continue to see significant opportunity ahead when the economy and financial markets write them so. We certainly expect there to be fewer competitors in each of our core markets, middle market lending, vendor, trade finance, and transportation. And CIT will be positioned for profitable market shared gain at that time. Now, I want to ask Alex to give you some more detail on operating result in credit trend in each of the business and we’ll have Joe review the finance margin and funding, and we’ll be delighted to open the call up to your questions. Alex.
Alex Mason: Indeed the market continues to be challenging. This quarter we felt the effect of the rapidly deteriorating economy in almost of our business, all be it in varying magnitude. Generally speaking, trade and transportation, as Jeff mentioned continue to perform well in relative terms. Vendor and corporate finance are being hardest hit by our liquidity constrains in the economic and credit downturn. What I would like to do over the next few minutes is run through each of our business segment and provide an update on the performance in the quarter and trends moving forward, including our view of credit. In corporate finance and specifically, the middle-market lending space, we are now seeing the full effect of economic disruption and market illiquidity. Companies are defaulting at a historic clip. Deals, although attractively priced, are not easy to get done. And the lack of syndication and MNA activity has made C income extremely hard to come by. While we’ve been able to offset some of this with improved efficiency, it’s not nearly enough in the overall impact on profitability. Let me dive a little deeper and provide some color on this. Corporate default rate have risen sharply in 2009. The lack of market liquidity has dramatically reduced options for company in distress. And more and more, middle-market companies are finding themselves in a position where there only to waste to reorganize under Chapter 11. This increased velocity or compressed time frame in which companies are moving from troubled to bankrupt is impacting corporate credit trends. As a result	, we saw charge offs in our corporate finance portfolio nearly triple, from a 135 basis points to roughly 410 basis points this past quarter, while non-accruals grew on a much more modest rate, up about 130 basis points. Hardest hit sectors include media, energy, and commercial real estate. And we’re nearly 50% of our commercial losses were concentrated, as those industries are in the midst of fundamental restructuring. The corporate defaults expected to rise – we have been prudently building reserves, over $180 million in corporate finance alone in the first quarter. The challenging credit environment will likely persist through 2009 in elevated levels of non-accruals and charge offs for the remainder of the year. On the deal side, as you know, volume is down significantly, largely because the syndication market from middle-market deals remains relatively dormant, as the stressed economic environment continues to keep lenders at bay. Industry deals that did get done in the first quarter were primarily large, well priced asset based lending deals entering possession deals arranged by pre-positioned lenders and small club deals with relationship banks. At the same time, compelling relative value in the secondary market for leverage loans and for investment trade bond deals of institutional investors, who you should remember historically comprise 70% of the primary loan market, uninterested in any new loans. Much of our reduced volume was of our own doing as the challenge remains trying to take advantage of the attractive lending opportunities, with deals structures and whole sizes that fall within our target range, without the syndication market or partners to club with. Most of the new deals we executed in the quarter in corporate finance, outside of CIT Canada and our STL business, were originated and underwritten by CIT Bank. On a positive note, April has shown some recent signs of light in the primary syndication market driven in part by continued strength in the secondary market. For instance the S&P flow name index is comprised of 15 large liquid leverage loans had recently been trading positively, suggesting that the relative value gap between the secondary and primary markets has tightened. The deals are getting done, we are getting strong covenant packages, LIBOR floors around 3%, and all-in yields with fees and discounts around 12%, slightly less for ADL. Moving on to vendor finance, the segment had a loss for the quarter, largely due to the need to build reserves ahead of declining products. While charge offs actually came down in the quarter, non-accruals were up 65 basis points or $63 million, primarily due to one US basic count moving to work out, and a handful of moderate sized troubled accounts in Europe that we are currently working through. Given the severity of the credit environment, the overall vendor portfolio is performing reasonably well. But unlike previous cycles, we are being affected in virtually every geographic region. Outside of credit, I’m happy to say that vendors’ underlying performance is showing some positive signs. The restructuring we’ve talked about in the past is largely behind us. The segment now has the proper organization structure and servicing capabilities to take advantage of the economy to scale and improve its profitability. Separately, the remediation of reconciliation items we detailed last quarter is complete. Expenses are down 7% from last quarter on a comparable basis, excluding the impact of the reconciliation charges. And our efforts to re-price the portfolio to current market rates are starting to yield tangible results. Margins on new business volume in the first quarter were over 40% higher than margins on leases and loans that were running off in the portfolio. Majority of the new business volume we are doing today is for strategic, long standing partners with strong balance sheet and solid business model. And we see good opportunities to add new profitable relationships to the existing stable of strong vending – vendor partners. Challenge is on the liquidity side. Specifically, the lack of liquidity in the asset tax markets. Until there are signs of improvement, we will continue to be judicious with our new business originations. In short, and if we’ve made progress in turning around vendor finance, but we have plenty more work to do. We will continue to look for ways to streamline the operations, particularly globally. We’ll also look at opportunities to facilitate the run-off of lower margin portfolios, and replaced that with more profitable new business that we are originating today. Next, let me turn my attention to trade finance. As Jeff said, another job well done by the business in face of severe turmoil in the retail sector. Trade finance continues to manage credit well, while successfully raising commission rates in the first quarter, representing the first increase in many years. Overall, commissions were down slightly due to lower volumes, which reflects those lower retail sales activities and our own reduced risk appetite. Our focus is to stay within our core market, concentrating on providing liquidity into large retailers with sound business plans and strong balance sheet. On the credit side, charge offs were down slightly from Q4 on an absolute basis despite the laundry list of retailers that’s been hardest hit by this economic recession. Non-accruals increased about 35 basis points or $10 million on an absolute dollar basis, well within expectations given the current environment. It is a testament to our pro active management of credit and ability to catch up-risk disclosures before they become problems. Moving forward, we expect the retail environment to remain challenged throughout 2009, as consumer demand continues to struggle. Therefore, we expect to continue to be prudent in our lending, which means foregoing volume to manage credit risks and maintaining pricing at appropriate market level. And finally, transportation finance. Business as a whole, performed well once again in its challenging marketing environment, as our aircraft remains fully utilized and our rail car utilization was down only slightly. As we have said in the past, the transportation business is less about credit and more about utilization and underlying trends in lift rate. That said, while utilization remains solid, the global economic slow down is certainly having its effect on both of these businesses. In air, overall operating lease revenue increased from the prior quarter largely on asset levels as we brought on seven new aircrafts in Q4 from our new order book. This rates on newer aircrafts have already been placed are down slightly, but are not having a noticeable impact. Similarly, we have placed half of the existing lease agreement for their schedule to mature in 2009 at rates similar to previous terms, a good job done by the team to get out in front of the market downturn. But the remainder of our forward order book, which, by the way, is placed in the mid 2010 and for our existing list expirations in the coming year, we would certainly expect some softness in lease rates as placements of new aircraft has become more challenging in the face of waning demand for air travel across the globe. Another area where the impact of the economic downturn could be felt is on asset sales as the overall secondary market for aircraft is down and so, we’ll likely sell significantly fewer planes in 2009 as compared to 2008. In rail, the impact from the economic downturn is more pronounced as broad based weakness is putting pressure on lease rates and utilization across the market. In general, reduced demand for goods and raw material has decreased overall rail loadings, which are down approximately 15%, so far in 2009. A lower rail loading volumes allowing rail carriers to carry to significantly improve train velocity, which in turn allows them to move the same volume with fewer cars. As a result, it is estimated that currently 25% of the North American rail car fleet is sitting idle. To CIT specifically, it means the challenge to remain – to maintain utilization at these levels will get tougher and lease rates will by definition decline. We are already starting to see some of this Q1 lease renewals and would expect it to continue for the remainder of the year. In terms of utilization, it is likely that we will have a similar experience to the last downturn, which was approximately 88% of the trough. In general, our focus on rail is to keep our fleet working and to position ourselves to participate in the recovery down the road by keeping lease terms shorter and not locking ourselves into the day’s soft rate. That will do it for me. With that, I’ll turn it over to Joe.
Joe Leone: Thank you, Alex. Good morning, everyone. I’ll be brief. I’d like to cover three areas, credit, add a little color to what Jeff and Alex said, and then margin and funding. First, credit. Now, we were disappointed with the consolidated net charge offs of 2.4%. It’s above our expectations and as we said it reflected greater deterioration in the economy, particularly DDP and unemployment. I’d reiterate, I was very proud of the job done of our transportation and factoring teams on credit. Unfortunately, I’m not as happy with the credit performance of particularly three sectors in corporate finance. I think Alex mentioned half of our commercial losses were concentrated in three sectors. And those three sectors account for about 7% of our commercial loans. If you need some detail, media we had $50 million in charge offs on $900 million of loans, commercial real estate we had about $45 million losses or ride offs on about $750 million of loans, and in energy we have $32 million of losses on $1.2 billion of loans. The energy loss was principally concentrated in one account. It’s an account we’ve talked about over the last year or so, which is coal mine. When I look at the total reserved bills, $220 million this quarter on top of what we added last quarter, I think we’re maintaining a very strong reserved position. At credit, margin, and for those new to the CIT story, the margin includes net interest spread we make on loans plus the net spread on our equipment we leased. That spread was 1.13% and was down 25 basis points sequentially. What happened? I think you’ll hear this from others, but 15 basis points as of compression was due to timing and basis difference on certain floating rate assets and liabilities. Two, businesses specifically, our SPA business reprises on the first day of each quarter. For those assets reprised, 175 basis points down on January 1 and our funding costs take a while to catch up through reset through the quarter. In consumer, the yield we earn on self-loans is, as you know, is determined by the government using a CP index. And in this quarter that yield sell 184 basis points, and again, funding costs lag that improvement. That’s basis. Twelve basis points was due to higher secured borrowings as we renewed conduit at the end of ’08, and particularly in trade and vendor. And these were priced up by about 400 basis points over where they had originally been priced a year or so ago. Officially, the trade conduit has some fees that we’re amortizing through the margins. Non-accruals of course, has a dampening impact on margin that was about seven basis points. And we did bring back in our bank holding company capital restructure in December about $1.5 billion of Dell assets on to our balance sheet, and that was about a four-basis point impact. On the plus side, we picked up about 10 basis points from de-leveraging and reducing negative carry-on overnight investment. About looking forward, I think you heard a little bit of an expectation of higher non-accruals and operating lease rentals will be slightly lower, and that will weigh on margins. However, there are opportunities for us to move it up. First, the 23A transfer of pseudo loans to the bank should enable us to partially refinance conduit debt with more efficient deposits. And that is underway. We did repurchase $470 million of debt at a discount in the first quarter. That will help a bit. We are working on fully utilizing the Goldman facility, which will provide us with over $1 billion or so of incremental funding at LIBOR flat. We expect continued progress on our transfer of assets and new originations into the bank, so that we can more fully leverage our deposit raising capabilities. And these deposits that coming in at LIBOR plus 150 to 160, and that would be very attractive refinancing and deployment into our lending opportunities. Beyond these items, we would hope and expect that the spread between the basis industries I described earlier begin to normalize. We saw some of that in April and as I said earlier, that basis difference is costing us 10 basis points to 15 basis points today. Reducing our negative carry and paying down more expensive conduit such as the trade finance facility are also opportunities we would like to attain when we get more financing through our banks. Lastly, I think Alex mentioned some of this, pricing on new lending opportunities particularly in vendor and corporate finance is much improved, and we expect it to remain so. Finally, funding. We have over $7 billion of unsecured debt coming due from April 1 through year-end. And that includes – in April, we paid down $2.6 billion of that including $2.1 billion in bank line. Therefore the remaining unsecured debt maturities for the remainder of the year are about $4.7 billion. In terms of liquidity sources, we will use our cash on hand, which we recently enhanced with the 23A asset transfer we described. We will tap that $1 billion of availability in the Goldman facility and we’re analyzing the funding of international vendor asset in that facility. We would like to see increased advanced rates there as prices for financial assets improve. We have another billion dollars or so of capacity in our variety of conduits including the Welsh facility equipment in trade. And in terms of securitization, I’m happy to say, we recently solved Canadian $300 million on to investors in a private securitization of equipment receivables in Canada. And in midyear, we would expect to use the TALF program to securitize certain equipment vendor receivables, and that will free up equipment conduit capacity. For the 23A approvals, the transfer not only assets, but operations into the bank will enhance our funding position as well. We are also analyzing balance sheet management, sales of select portfolios and we look to continue to de-leverage the balance sheet in Q2, just as we did in Q1 when risk waited assets decline to $74 billion. With that, I will turn the call over to the operator for questions. Carmen?
Operator: (Operator instructions) And we'll wait one moment while questions compile. And the first question comes from the line of David Hochstim from Buckingham Research Group. Please proceed.
David Hochstim: Thanks. I wonder if you could just draw down a little bit more on the problem of commercial exposures – the problem commercial exposures. And if you can have confidence that you are not going to see any massive increase in charge of on communications, energy and real estate loans in the second quarter and the third quarter? I guess, another way of asking whether that we’d be confident that the reserves are adequate this quarter?
Nancy Foster: Hi.
Jeff Peek: David, thank you for the question. We’ve got Nancy Foster, who’s our Chief Risk Officer, here to talk a little bit about exposures and reserves. So let me pass it to her.
David Hochstim: Okay.
Jeff Peek: Nancy?
Nancy Foster: Good morning. Again, I think as my colleagues addressed in their earlier comments, today in the first quarter, we are seeing the losses very concentrated in these sectors. We would expect some of the other sectors to deteriorate for the remainder of the year. And we have taken that into account in our reserving action this quarter. I think from a severity standpoint, as losses occur later in the year, we’ve had an opportunity – through our portfolio management process to work with the portfolio and the structures to the extent that I would not expect the same level of severity for the remainder of the portfolio.
David Hochstim: And what about the communication media and realty, do we still have a lot of assets that haven’t charged off yet? And obviously there are problems in the sector but maybe there are problems in underwriting there too?
Nancy Foster: Yes. We’ll continue to struggle with those sectors for the remainder of the year. If you look at our non-performing assets, you would see similar trends with the media and commercial real estate names there. So I think we won’t grind through the remainder of the year in those sectors.
David Hochstim: Okay. And then are you able to take advantage of any of the opportunities in deep financing or you just don’t have enough liquidity or–?
Nancy Foster: Yes, absolutely, in the first quarter, if you’d look at our underwriting and origination, you would see a heavy emphasis on the ABL business, both from deep lending as well as receivable facilities that we’ve been able to finance.
Jeff Peek: Nancy’s right, we see a fair amount of opportunity in deep lending. I think a lot of the deep lending that goes on flows to the banks that are already involved in the credit. But where there are new facilities being put in place, we’re trying to take advantage of those because the pricing is extremely attractive.
David Hochstim: And then finally, Jeff, to be clear, so the 23A approval you got to file was all student loans, or were there other credits as well?
Jeff Peek: It was all student loans, and that’s the way it’s going to work, David. We have three or four phases in our bank holding company application. And this was for student loans. And actually, they have begun to look at our corporate loans portfolio. So we think that’ll probably be waived too, of 23A.
David Hochstim: Okay. And that would allow you to bring some deposits then? How could they give you bring deposits from those corporate costumers that are still able to pay?
Jeff Peek: I’m sorry. I didn’t quite understand the question.
David Hochstim: I guess I understood. Part of the strategy is that you move those assets into the bank from corporate finance costumer. Some of those people have corporate deposits that will help you build your deposit base as well and turn it into real bank–
Jeff Peek: Quite right, quite right, absolutely correct. The strategy is very definitely to try and capture the deposit business over time from those middle market customers that we are providing credit to. I think if you look at the model that other large regionals and even smaller regionals have employed, they’ve very much tied – they've very much tied their marketing approach on cash management or treasury management related services to those companies where they're providing credit.
Operator: And our next question comes from the line of Andrew Wessel from J.P. Morgan. Please proceed.
Andrew Wessel: Hi guys, good afternoon. Just had a, I guess, couple follow up questions there. In terms of credit and this provisioning, looks like, I guess that statement was a little surprising in that you expect this to be the key to the provision cycle even though corporate credit defaults have just begun to really accelerate. All those, it was pretty compounded to the most strained industries, to the most strained industries, even in a small percentage of your loan book, it was still a pretty severe hit to your provisions and charge offs. Could you put any more color around just what you're seeing outside of those most strained industries or the MTL bills? Is there any other place where you’re seeing MTL bills a little bit above average? A little bit when you expected?
Nancy Foster: Not outside those sectors that we mentioned. So some areas are doing better than others. I think the best way to look at the rest of the portfolio would be in conjunction with the economy in general. So we like to seeing I-loans in general. Commercial and industrial, we will have a strong correlation to GDP. And again, we have taken that into account as we look at our reserve building in the first quarter as well. But again, one factor that will help us for the remainder of the year is the ability we've had in the first quarter as defaults have occurred or covenants, we have been very actively managing the portfolio and improving our structures in the in the event of default elsewhere.
Alex Mason: I would like to add that in this marketplace when companies do start hitting covenants they generally re-price as well.
Andrew Wessel: Got it. And then also, in the press release you mentioned an additional, kind of, deposit gathering strategy are alluded to that. Is there anything, is there anything specific there you could talk about aside from outside of the broker's market? What you're looking to do now speed up the pace of deposit growth?
Jeff Peek: Well I think long term, which is anything down the short term, we want to – we clearly want to diversify our funding sources for deposits. We feel that having gotten to the platform is a big – is a big win. And so at some point we'll either think more concretely about Internet or about actual bricks and mortar. Right now what we're seeing, and I think it's reflected in the press release, is we're seeing more than necessary liquidity in the broker's CD market. In recent weeks we've done as much as $400 million in term deposits in that brokered CD market at probably an average cost of about 275 annualized. So right now we're doing more, we're seeing more liquidity frankly than we need in that brokered CD market. But longer term we're clearly going to have to diversify beyond the brokered CD market. Thank you.
Operator: And our next question comes from the line of Moshe Orenbuch from Credit Suisse. Please proceed.
Moshe Orenbuch: Thanks. Maybe two – kind of two questions. The first is just kind of following up on some of the credit questions. Is there any way to kind of ring fence portions of the portfolio that you think are more risk? I mean you talked a little bit about that severity getting better because of structural improvements in the credit. But, what about frequency? Could you kind of address that? And I’ve got a follow-up.
Nancy Foster: Yes, I think Joe covered it pretty well with respect to media. It's primarily print publishing and broadcasting. And we would have less than $1 billion of exposure there. In commercial real estate, again, less than $1 billion. We exited commercial real estate about 18 months ago. So I think that's ring fence. Energy has been primarily, aside from the coal company, in the ethanol space. And again, outside of those limited exposures, I would expect the rest of the portfolio perform along with, along with the economy.
Moshe Orenbuch: Thanks. The second part was related to the 23A waivers. I mean it sounded like from the more recent comments made in response to one of the earlier questions that you still do expect some further approvals. I mean, can you talk about what the issues are? If the Fed is going through this because the student lending wasn't the first portfolio that you had, that you had submitted to them. So could you talk about that? And the process? And maybe what is next? What you think the next one might be that they would consider?
Jeff Peek: Well, Moshe, I think the 23A process, just for people on the call that are totally familiar with it, involves both the Federal Reserve and the FDIC. The Federal Reserve actually gives the approval. But because we're a state-chartered bank, one of our primary regulators is the FDIC. So it's a little bit of a joint effort. And, of course, both – both agencies are interested in the credit quality of the assets going into the bank. So the reason that we got – the reason that we went to the student loans was we thought that would minimize the due diligence process because the loans that went in were all the (inaudible) loans 97% guaranteed. Actually, several of the regulators have already started looking at the corporate finance portfolio, our senior secured loans. And we're working through our grading, grades for the quality of those loans. And I think, as I said, I think that the corporate loans, corporate finance portfolio, will probably be the second, the second wave to go into the bank followed by vendor finance. And possibly parts of transportation. So I think the way to look at this is probably three or four phases going into the bank over the, over the period of the year. We do feel pretty good about the – having gotten the bank up to $10 billion from $3 billion at the beginning of the year. So we think it's significant process in really transitioning to becoming a bank holding company.
Alex Mason: The other point to be made here is that as we go through this 23A process, and by the way, we're not the only people going through it. There are others that are going through a fairly robust process as well. And we know the regulators are strained in terms of resource, which I'm sure is part of the reason it's been a little slower to happen. By the way, it has been immensely constructive in many respects as well. But, but the point is we will be moving platforms into the bank as well as assets. So that we will actually create critical mass in the bank in terms of people, in terms of – in terms of resource. The bank will be the primary vehicle through which we do business in a number of our different franchises. And we certainly expect corporate finance to be the first major franchise that we move directly into the bank.
Operator: And again, ladies and gentlemen – ladies and gentlemen, please limit your question to one. I would now like to introduce Mr. Matt Burnell from Wachovia. Please proceed.
Matt Burnell: Good morning everybody. Thanks for taking my call. Joe, could you provide a little more detail on – on I guess Jeff's commentary about explicitly supporting or explicitly saying that you're going to continue making the preferred dividends? And – and can you give us an update on where you believe CIT stands with relation to the fixed charge ratio trigger that are included in some of your bond ventures?
Joe Leone: Hey, Matt, I'll try. Can't add much to what Jeff said except that our normal process for dividend review and approval by the board is to review the common dividend at the board meeting, which we just had this past week. And the preferred dividend, since we have breached the fixed charge covenant for several quarters, and it's a four quarter running test, we'll probably still be under that. So we would probably use the alternative payment mechanism to make the payment. That involves selling common stock. Not to use the proceeds but to use the alternative payment mechanism cure. And generally that's – what happens is the board can approve the dividend and so we have the cash proceeds from that transaction in hand. And we generally do not sell the stock until we're out of the dark period or black out period. And that's today and probably into next week. So that's about what I can add to it as part of the process that we go through. And the common dividend and preferred dividend are generally bifurcated in terms of process with the board.
Matt Burnell: Great. Thank you.
Ken Brause: Carmen, do we have another question?
Operator: The next question comes from the line of Mike Taiano from Sandler O'Neill. Please proceed.
Mike Taiano: Hi, good morning. Just to drill down on credit a little bit further, can you maybe give us a sense of the percentage of the credit losses within the corporate finance segment that are coming from, from cash flow versus ABL? And sort of what type of severity you're seeing on cash flow loan relative to prior cycle?
Nancy Foster: Sure. It's about two thirds cash flow, one third ABL or other, and – in losses. In terms of severity, I'm going to point to media again since that was a big component. And I think it's absolutely worse than the last cycle really because of the fundamental business model shift that's occurring in that space. So when we saw advertising drop off severely in the last quarter of last year value evaporated very quickly. And with the lack of liquidity there are just not a lot of options in the cash flow space. So I think that'll continue to be the case until the credit markets open up. But again, thus far it's been, it's been very concentrated in limited sectors.
Mike Taiano: Okay. So would you say, just to be clear, the severity's worse in media. What about some of the other industries? Is it similar to past cycles or a lot of those worst as well?
Nancy Foster: Yes. We don't have enough experience yet to say, we just haven't had, had the loss and gotten through the cycle. I mean, certainly, if you look at data in the market people are expecting it to be upwards of 5% worse than the last cycle. Some people are more pessimistic than that. To date we just haven't had high enough number of defaults in that space to really draw any conclusions yet.
Alex Mason: But the empirical observation, and I think I made it in my prepared remarks, is that the time line between getting in trouble and ending up in a bankruptcy court has tightened dramatically. And Nancy made reference to this. It's because companies do not have the traditional options that they've had in past business cycles when they get in trouble. In past cycles, if you got in trouble, and you were a company that had three or four different divisions, looked at one of those, spin-off, you downsize, and you rode through. In this market, because of the lack of liquidity, selling that division is much, much harder than it was in past cycles. And that resulted, if you're forced to the table with your creditors, and you're doing a restructuring.
Mike Taiano: Okay. And to that point, Alex, I mean the limited options for a lot of your borrowers, how much is that increasing the extension of loans? So in other words, as loans are coming due and your borrowers don't have other options to refinance, is that having a big impact on your, on your asset numbers?
Alex Mason: I don't think it is. If the inference there is that repayments are slower, and in fact is true, but I don't think, I don't think I'm – I’m looking at that through the prism of greater problems but rather, again, liquidity is affecting people's ability to go out and new de – to do new deal. The good news there, as I referenced before, is that anytime somebody comes up to a maturity and needs to basically keep its current bank group together, because there's not a lot of options before them in the market, we're re-pricing. So we see a better margin in the new deal than with the old one.
Mike Taiano: Okay. Thanks a lot.
Operator: And the next question comes from the line of Christopher Brendler from Stifel Nicolaus, please proceed.
Christopher Brendler: Hi. Thanks, good morning. I just – two questions if I could. One, it sounds like I’ve listened to the call I don’t see direct commentary to this, it sounds like you feel a little more optimistic that a turn is coming despite what looks from our vantage point like losses are increasing rapidly and there’s no light at the end of the tunnel and NPAs, is that due to specific exposures in those weaker areas of media, telecom, and commercial real estate, that those impacts, that those NPAs that those segments, they will be a little better, make me feel a little better about the current trends. This sounds like you’re a little more optimistic that losses won’t be gone from 280 or so today up into the threes. And also, this does sound like you’re thinking that start falling by the fourth quarter. And then a totally separate question is for – to get some color on how you feel about capital? My impression was in fourth quarter when you did the bank holding company conversion that you jumped through a lot of hoops to get your capital ratios up to where the regulators and the Fed wanted it to be, and given that kind of operating losses you’re running right now, I’m not as convinced that the capital position is where it needs to be. Can you talk about that and maybe you have plans for some asset sales or more shrinkage that would help out your capital position? Thanks.
Nancy Foster: Okay. Let me try to address the credits first. I’m not ready to say that we’ve seen an inflection point, I think the economy – I don’t see any bright lights there or reasons to be optimistic. I think what you’re hearing is that, I do not expect the fall from the future to have the level of severity that we thought in those sectors. But I think when we get to the other side, we will see that the media’s face was hit the hardest and it was hit the soonest. And that was due to the advertising that fell off last year and that impacted anybody that was reliant on that input, if you will. So I guess, secondly, going back to managing the portfolio, we had this cliff effect in the fourth quarter of last year that didn’t give us a lot of time to work with companies before we got to a liquidation or a sale. Since then, for the remainder of the portfolio, we have been working with companies, we have been able to tighten structures, get collateral in a lot of cases, especially on the retail side, and so that’s where I’m optimistic, is that the falls filter through the remainder of the portfolio, we’ve had more time and we’ll see better recovery rate.
Alex Mason: One further comment on media, I think in the spaces that Nancy referenced, not only has advertising been impacted, but I think there’s a broad perception that there is a secular change in the business that’s taking place. I mean, she referred to the change in business model earlier, that is a – that’s an appropriate observation and I think it’s influencing outcomes. I think people are much quicker to take these companies into radical restructuring because they believe that things aren’t going to improve, at least materially, over time.
Joe Leone: I think, Chris, on the capital question, we did build a lot of capital in the fourth quarter to get the bank holding company land. I think like that several other management institutions that converted the bank holding company, we had barely high capital ratio hurdles that we had get to because we were new members to the club. We strongly take the 13% pretty seriously and we’ll be managing to that level as we go through the years. There are no defined triggers if we fall below the 13%, although we certainly will try and maintain 13%. I think one of the things is just – in some of the portfolios run off , assets were down about $5 billion in the first quarter and I think we’ll continue to see us manage the assets in combination with the capital to try and maintain the ratios that we’ve talked about. And asset sales could be part of managing the denominator of that equation.
Christopher Brendler: Any interest in the government programs in the after sales side?
Joe Leone: The cap we talked about a little bit, we’ve looked at all the government programs, one of the issues for us has been, some of our asset classes have longer maturities than three-year financing that the government’s providing. So we haven’t really found that much interest on the buy side from people, like student loans for example, three-year financing out of 15-year asset didn’t get the buy side that excited. But now that they’ve expanded it to equipment loans, as Joe said I think, we’re very interested in trying to do a TALF transaction probably at the end of second quarter here built around on our computer leases, in the vendor finance phase, which probably have an average maturity around 24 to 30 months type of thing, so that fits within their three-year financing horizon.
Operator: And the final question comes from the line of Bill Carcache from Fox-Pitt, please proceed.
Bill Carcache: Actually, if I may, I’d like to ask two questions on TALF, can you speak to what potential size of the TALF transaction would be and what your expected pricing on that would be? And also, you had mentioned that your – both the Fed and FDIC are interested in the quality – the credit quality of the assets that are going to the bank under the 23A program? Does your participation – does your progress in 23A improve your chances of getting TLGP approval? Basically, just trying to understand whether the FDIC would be more comfortable granting TLGP approval once 23A, as you continue to make progress there? Thanks.
Jeff Peek: Let me answer the second one, and then I’ll pass to Joe on the perspective pricing on the TALF transaction. I think, just to underlie what Alex said, I think actually we’ve been quite impressed with how constructive the regulators both at the Fed and the FDIC have been for a newly converted bank holding company. And, I think that, my answer to your question would be yes or no, 23A is a separate approval for separate projects, TLGP from the FDIC perspective, we’ve already got one 23A approval so if there was a threshold that we needed to get a 23A approval but would they seriously consider TLGP, I think that’s already been achieved. They are two separate approvals, FDIC is TLGP, the Fed with some concurrence from the Fed is 23A, but I think in general, they do tend to look at as alternative pools of liquidity so – but I don’t think TLGP necessarily depends on further 23A approval.
Joe Leone: In terms of the TALF transaction, just recently the program was expanded to include the finance assets. So clearly, we’re in the early stages of the analysis, but as we said, we will hope to do a deal by late second quarter, early third quarter. Our thinking on size is $750 million to $1 billion does not necessarily all incremental liquidity because what our view of what this TALF program does for us is get us back to what we normally have done on equipment finance assets, which was warehouse them and equipment finance conduit. And then term them out in public markets, and therefore continue to create liquidity in the conduit and create more efficiency in the pricing of the conduit and the term-out. In terms of the specific pricing, I’m going to give you my recollection, this may not be in a perfectly 100% right, but it’s not going to be much cheaper if at all that than where we are in the conduit. Clearly, this is to build liquidity and hopefully build better effective pricing or efficient pricing down the road, and my recollection is it’s probably going to be in the LIBOR of 150 to 200 basis points. If it’s different, we’ll make sure IR gets back to you with the finances, but that’s my recollection.
Jeff Peek: Okay, let me just – before you go, let me just make a couple of closing remarks. I thank everybody for participating and dialing in. Obviously, these are extremely challenging times, I think all of us in CIT continue to work to preserve and build value for the benefit of all our stakeholders. Couple of points here, as the make has become clear through the Q&A period, we are in the midst of an orderly transition to a deposit-funded banking enterprise. Whenever you think the value of our four commercial finance units are, I think we can all agree that that value is maximized if they're wrapped in the guise of bank holding company, as opposed to a non-bank financial institution. Credit and funding cost, those are the two key drivers of our return to profitability, they’re our top priorities. Our core commercial franchises are focused on improving their efficiency in profitability, continuing to serve clients. We are well capitalized and we are in a strong position to manage through this cycle. I would like to take this opportunity to thank all our employees who do great work everyday. On behalf of our clients, and clients who’ve remained so supportive during this challenging time. Thanks to all of you and just to remind you, Ken Brause and the Investor Relations team are always here to talk to you, answer your questions, get your comments. Thanks very much.
Operator: This concludes the presentation for today, ladies and gentlemen, you may now disconnect. Have a wonderful day.